Operator: Good day and welcome to the MGP Ingredients Fourth Quarter and Full Year 2021 Financial Results Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mike Houston. Please go ahead.
Mike Houston: Thank you. I am Mike Houston with Lambert & Company, MGP’s Investor Relations firm. And joining me today are members of their management team, including Dave Colo, President and Chief Executive Officer and Brandon Gall, Vice President of Finance and Chief Financial Officer. We will begin the call with management’s prepared remarks and then open the call up to questions. However, before we begin today’s call, it is my responsibility to inform you that this call may involve certain forward-looking statements such as projections of sales, operating income, gross margin and effective tax rate as well as statements on the plans and objectives of the company’s business. The company’s actual results could differ materially from any forward-looking statements made today due to a number of factors, including the risk factors described in the company’s most recent annual and quarterly reports filed with the Securities and Exchange Commission. The company assumes no obligation to update any forward-looking statements made during the call. If anyone does not already have a copy of the press release issued by MGP today, you can access it at the company’s website, www.mgpingredients.com. At this time, I would like to turn the call over to MGP’s President and Chief Executive Officer, Dave Colo. Dave?
Dave Colo: Thank you, Mike and thanks everyone for joining the call today. We appreciate your interest in MGP Ingredients and hope that you and your families have a safe and healthy 2022. On this call, we will begin with an overview of our performance for the quarter and fiscal year ended December 31, 2021, provide updates on key financial performance metrics and discuss the progress we have made against our strategy. At the end of the call, we will open the line for Q&A. By all accounts, 2021 represented a remarkable year for our company. As we executed against our strategy, the strength and value of our business model were on full display, improved effectiveness in our tactical execution allowed MGP to deliver our most profitable year in company history. The determination and continued focus from our team to meet increased customer demand for our products, while achieving strong financial performance resulted in record results across each of our segments this year. We are also very pleased with the continued success of the integration efforts of the Luxco acquisition achieved by the organization. The team has done an impressive job the past few quarters, allowing us to benefit from the strengths of the combined organizations and the creation of a one-company high-performance culture. The demand for new distillate and aged whiskey remain strong. We continue to optimize our expansive family of brands to meet the shift in consumer demand while positioning us to achieve incremental growth. In addition, the determination of our team to improve throughput and profitability in our Ingredient Solutions segment drove an increase in gross profit for the year. Consolidated sales for the year increased 58.5%, while gross profit increased 101% to a record $199 million, representing 31.7% of consolidated sales. Reported operating income increased a 133% while adjusted operating income increased 113%. We are very pleased with the sustained momentum across each of our segments during the fourth quarter and the growth we achieved over the full year. The demand for aged whiskey continues to be a growth driver with a 28.4% increase in premium beverage alcohol sales for the year. Our American whiskey and tequila offerings contributed to the encouraging results for the Branded Spirits segment for the fourth quarter and for the year. Ingredient Solutions segment sales also benefited from strong demand with double-digit growth quarter-over-quarter and were up 16.1% for the year. Looking at each segment in greater detail, we achieved a record year in our Distillery Products segment, with sales ending the quarter up 3.3% and full year sales increased 12.5% to $352.5 million. Gross profit for the year improved to $114.1 million or 32.4% of segment sales. Full year sales of premium beverage alcohol increased 28.4% with record sales of aged whiskey driving growth. Aged whiskey sales also served as the primary driver to the increase in gross margins in the period. Our growth in sales of brown goods this year outpaced the longer-term market trends. This was attributed to the sustained strong demand by each of our customer categories. Our team continues to do a fantastic job capturing market share and unfilled demand. The record performance and growth in sales over the prior year could not have been possible without our sales team’s expertise and the relationships we have cultivated across our diverse customer base. We anticipate the strength we have been experiencing to continue as the consumer demand for American whiskey remains robust. We also expect strong pricing trends to persist. Our inventory of aging whiskey and our ability to support a brand’s growth regardless of its size has offered MGP a sustained position of strength, and we believe this will continue into 2022. Sales of new distillate also posted strong growth for the quarter and year as we experienced an increase in the demand for new distillate compared to the prior year period. While consumer demand for American whiskey remains robust, and our diverse customer mix positions us well, we remain uncertain as to when the growth rates will begin to normalize and align more with the long-term trend for the overall category. We believe our significant share and scale advantage will position us well as this increased period of demand continues. In fiscal 2021, our goal was to increase focus toward achieving volume growth and market share gains in the global American whiskey category and refine how we approach the selling process with potential new or infrequent customers. This initiative resulted in meaningful changes in our go-to-market approach and resulted in additional margin expansion and record gross profit results for the quarter and year. Our record gross profit results confirm the long-term value of our aging whiskey inventory, further supported by our ability to cultivate solid partnerships with existing customers as well as attract additional aged whiskey and new distillate customers. White Goods sales posted another solid quarter with growth of 23.9% and year-over-year growth of 18.7%, primarily due to improved pricing and volume. The growth partially reflected volume shifts away from industrial alcohol and towards our White Goods premium beverage products. Sales for our industrial alcohol products decreased 22.4% this year, the decline was primarily attributed to reduced third-party sales of industrial alcohol produced by ICP, our former joint venture partner. As previously discussed, we anticipate margins for both Industrial Alcohol and White Goods products to return to lower historical levels, which are in the low single-digits, as the demand for Industrial Alcohol moderates and due to the additional supply that has entered the market. This anticipated decline in the profitability of White Goods and Industrial Alcohol is factored into the fiscal year 2022 guidance that we will speak to later in the call. Revenue from warehouse services increased 12.1% for the year as compared to 2020. This growth can be attributed in part to the growth in the number of customer barrels aging in our whiskey warehouses and other services we provide. Turning to Branded Spirits performance for the fourth quarter and full year exceeded our internal expectations. Sales totaled $183.6 million for the year, primarily due to the Luxco acquisition. We also benefited from continued strength by our ultra-premium and premium brands, reflecting higher case volume of these higher-margin products as well as increased distribution on legacy MGP brands and improved pricing and mix on select brands. Gross profit for this segment increased to $62.6 million or 34.1% of segment sales for the full year. Strengthening consumer demand for our brands, especially our American whiskey and tequila brands has been a major catalyst for growth as well as the continued return of on-premise demand. We remain focused on improving the profitability of our portfolio and optimizing gross profits and margins to achieve further profitability. We believe consumer demand for our extensive family of brands will continue to position us well for incremental growth. Turning to Ingredient Solutions, sales for the year increased 16.1%, while gross profit increased to $22.2 million or 24.5% of segment sales. This increase in sales was primarily driven by increased volumes and higher average selling prices of specialty wheat starches and proteins as well as commodity wheat starches. Our experienced sales, innovation and R&D teams worked effectively and collaboratively to meet our customers’ needs as we achieve these record results for the year. Before I turn the call over to Brandon, I want to recognize and thank all of our employees for their tremendous efforts and dedication this past year. Because of them, we achieved record results for the fourth quarter and full year and ended the year with great momentum. Our product offerings remain aligned with strong consumer trends as evidenced by our ability to effectively recruit new business and grow with existing customers. This concludes my initial remarks. Let me now turn things over to Brandon Gall for a review of the key metrics and numbers. Brandon?
Brandon Gall: Thanks, Dave. For the quarter, consolidated sales increased 65.3% to $166.8 million as a result of strong growth in each of the reporting segments. Gross profit increased 66.3% to $52.8 million due to improved segment gross profit performance by the Distillery Products and Branded Spirits segments. Gross margin increased by 20 basis points to 31.6%. For the year, consolidated sales increased 58.5% to $626.7 million due to the additional brands acquired as part of the Luxco transaction as well as strong growth in new distillate and aged whiskey sales and bolstered further by solid double-digit growth in our specialty wheat starches and proteins. Gross profit increased 101% to a record $199 million, driven by increased gross profit performance in all segments and significant outperformance in Distillery Products and Branded Spirits. Gross margin increased by 670 basis points to 31.7% for 2021. As some of you may recall, during the fourth quarter of 2020, we experienced a fire at the Atchison facility, damaging feed drying equipment and causing a temporary loss of production time. During the most recent fourth quarter, we received the final settlement from our insurance carrier, $16.3 million of which was for the damaged dryer. We completed construction of a replacement drying system, which became operational during the fourth quarter. During 2021, the remaining settlement balance of $23.6 million was related to the business interruptions we experienced. This business interruption portion of the settlement was recorded as a reduction of cost of sales. And the insurance recoveries for the replacement of the damaged dryer were recorded as a separate line item on the income statement. Corporate selling, general and administrative expenses for the fourth quarter, inclusive of advertising and promotion expenses, increased to $23.8 million, primarily driven by the assumption of Luxco SG&A expenses, which were partially offset by lower incentive compensation expense. For the full year, corporate SG&A expenses, inclusive of advertising and promotion expenses, increased to $88.9 million due to the assumption of Luxco expenses and onetime acquisition-related costs. Operating income for the fourth quarter increased 192% to $45.3 million, primarily due to the increase in sales and gross profits previously discussed as well as a $16.3 million insurance recovery mentioned earlier. Adjusted operating income increased 70.5% to $29 million. For the full year, operating income increased 133% and to $126.4 million due to higher sales and gross profit. Adjusted operating income increased 113% to $121.5 million. Our corporate effective tax rate for the quarter was 26.8%, compared with 23.7% a year ago. For the full year, the corporate effective tax rate was 25%, compared to 23.3% in 2020. The increases for the quarter and full year corporate effective tax rates were primarily due to higher pretax income and its dilutive effect on favorable tax credits and deductions. Net income for the fourth quarter increased 172% to $31.7 million and basic earnings per share increased from $0.69 to $1.44. On an adjusted basis, basic over share increased from $0.75 to $0.88 during the quarter. Factoring in the additional shares and interest expense associated with the convertible offering, fully diluted EPS increased to $1.40 in the quarter compared to $0.69 in the year-ago period. Fully diluted adjusted EPS for the quarter increased to $0.87 per share, compared to $0.75 in the year ago period. Net income for the full year increased 125% to $90.8 million and basic earnings per share increased from $2.37 to $4.37. On an adjusted basis, basic earnings per share increased from $2.51 to $4.26 during the period. Factoring in the additional shares and the interest expense associated with the convertible offering, fully diluted earnings per share increased to $4.34 per share compared to $2.37 in the year ago period. Fully diluted adjusted EPS for the year increased to $4.24 per share compared to $2.51 in the year-ago period. Adjusted EBITDA for the year was $141 million, a 99% increase from the prior year, driven by the strong performance of all 3 business segments. Corn, wheat flour and natural gas are three of our largest commodity expenses each of which have seen upward prices over the last year. Our objective, as always, is to price through as much commodity input inflation as possible. We employ an extensive risk management program that includes purchasing the corresponding grain at the same time we contract volume and pricing for our products. Entering 2022, we are in a position that the majority of our commodity inputs have been purchased in line with corresponding sales. We have been successful in pricing through these increases in our specialty and higher-margin products. However, as we have discussed on the last number of calls, moderating demand for Industrial Alcohol and White Goods in the wake of the pandemic as well as the additional capacity that has entered the market has resulted in an oversupply dynamic. As a result, pricing for these products has been unable to keep pace with the underlying rise in commodity costs. We expect to see an approximate 700 basis point decline in year-over-year gross margin percent for our White Goods and Industrial Alcohol products on a combined basis in 2022 as profitability converges back towards historical levels. Cash flow from operations was $88.3 million in 2021, which was up from $53.3 million in 2020, reflecting the strong cash-generating capability of our business and the significant contribution of the Luxco acquisition. Strong free cash flows for the quarter and year further highlight the value and execution of our long-term strategy. MGP’s balance sheet remains strong, allowing us to continue to invest to grow as well as return funds to shareholders. We remain well-capitalized with debt totaling $233.4 million and a strong cash position of $21.6 million. Our strong cash generating capabilities, coupled with the enhanced access to capital enabled by the revolving credit facility provide MGP with ample financial flexibility as we execute our strategic growth plan, including evaluating acquisition opportunities that strengthen our position in growing markets. Also contributing to our strong balance sheet are the $201 million in convertible senior notes issued during the quarter with a fixed interest rate of 1.875% or 0.8% after the incremental beneficial tax impact is applied, these convertible notes allow the company to lock in a fixed long-term interest rate. Additionally, these notes reduced the outstanding balance of our revolving credit facility while also providing ample liquidity for future M&A activity. Our investment in inventory of aging whiskey increased by $14.2 million at cost in the fourth quarter. This net increase was driven by increased put away during the quarter. We also remain committed to continuing our investment in our operational capabilities and finished the year with $51.7 million in capital expenditures as compared to $18.6 million in 2020. This significant increase year-over-year was primarily due to the replacement of the feed dryer system, which was responsible for $31.7 million of the total CapEx during the year. We expect approximately $37.2 million in capital expenditures during 2022, which will be used for facility improvement and expansion, facility maintenance projects and environmental health and safety projects. In light of our strategy to pursue growth through investing in our business and the completed acquisition of Luxco, the Board authorized a quarterly dividend in the amount of $0.12 per share, which is payable on March 25 to stockholders of record as of March 11. The Board continues to view dividends as an important way to share the success of the company with shareholders. We believe the capital allocation strategy focused on organic and acquisitive growth aligns well with our long-term strategy as well as the underlying consumer trends our business is uniquely positioned to leverage. We will continue to pursue M&A to accelerate growth and increase our capabilities and product offerings, matching whiskey put away with growing future distillery products and branded spirit sales is also a priority as is the organic investment in CapEx that I’ve mentioned and Dave will touch on more in a moment. And now, let me turn things back over to Dave for concluding remarks.
Dave Colo: Thanks, Brandon. This year marked an inflection point of implementing our long-term strategic plan, which has delivered substantial improvements to our financial results and built a strong foundation for future growth. The critical part of that foundation was positioning MGP to benefit from the robust growth of the American whiskey category. Two key components of this effort have been our inventory of aging whiskey and accelerating our branded initiative. As Brandon mentioned, our inventory of aging whiskey increased $14.2 million from the third quarter to $174.1 million at the end of 2021. We remain supportive of our library of various mash bills and vintages and expect they will continue to meaningfully contribute to increased levels of gross profit and cash flow for the company moving forward. The recent Luxco acquisition was a significant step to accelerating our branded initiative. Our teams have done a fantastic job to expedite the integration of the two businesses, allowing us to begin to benefit from the successes of the combined business. The strategic transaction significantly expands our product line in the higher value Branded Spirit sector and increases our sales and distribution capabilities across all 50 states and has meaningfully improved MGP’s gross margin and cash flow generation profile. We recently announced three new expansionary projects, totaling approximately $33 million that will occur over the next 2 years and enable us to keep up with the continued strong demand we are experiencing in each of the three business segments. The first is a $4 million expansion of our Lux Row distillers’ facility in Bardstown, Kentucky, which is where we hosted our Analyst Day last November. This expansion is slated for completion in late 2022 and will allow the distillery to operate 24 hours per day and increase capacity by 75%. The second project is the construction of a new barrel warehouse facility in Williamstown, Kentucky. This $12 million warehouse expansion is located approximately 50 miles south of our historic Ross & Squibb distillery in Lawrenceburg, Indiana. The project is slated for completion by the end of 2022. The third project is our $16.7 million texturized protein extrusion plant in Atchison, Kansas. It is slated for completion in late 2023 and will be capable of producing 10 million pounds of texturized protein products per year. Achieving in-house production of our ProTerra line of products is a meaningful investment amid growing demand and increasing outsourcing costs. By transitioning the manufacturing process in-house, we reduced lead times related to co-packers scheduling issues, increased flexibility related to R&D projects and enhance our ability to effectively commercialize new products. With the increased demand we have been experiencing for our new distillate aged whiskey, and ultra-premium spirits brands as well as texturized protein products. These investments position us well for continued sustainable growth across the organization. While we anticipate volatility in the broader economy to persist in the near term, we remain confident in our team’s capabilities and strong market position, as well as the value each of our segments bring to our global customer base. We believe the underlying macro consumer trends that are supporting each of our business segments remain strong, and we expect these trends to continue through fiscal 2022. We will maintain a high level of operational execution and we will be deliberate in all actions we take as we navigate the market dynamics during 2022. For the full year fiscal 2022, we expect sales to be in the range of $690 million to $715 million, which would equate to a percentage growth rate range of approximately 10% to 14% from the prior year period. Adjusted EBITDA is expected to be in the range of $150 million to $157 million, which would equate to a percentage growth rate range of approximately 6% to 11% from the prior year period. We are forecasting basic adjusted earnings per share to be in the $4.15 to $4.35 range, with basic weighted average shares outstanding expected to be approximately 22 million at year end. We anticipate fully diluted adjusted earnings per share to be in the $3.95 to $4.10 range, with fully diluted weighted average shares outstanding expected to be approximately 24.1 million at year end. We are committed to refining the effectiveness of our tactical execution and we will continue to leverage the strong foundation we have established over the years with the objective to deliver sustainable, long-term value for our shareholders. That concludes our prepared remarks. Operator, we are ready to begin the question-and-answer portion of the call.
Operator: Thank you. [Operator Instructions] Our first question comes from Vivien Azer from Cowen. Please go ahead.
Vivien Azer: Hi, good morning. Thank you.
Dave Colo: Good morning, Vivien.
Brandon Gall: Good morning.
Vivien Azer: So I wanted to dive into the comment around your outlook for aged whiskey. I fully appreciate that forecasting any kind of normalization in growth is quite challenging to be sure and the growth looks very healthy. I was wondering if there are kind of any secondary metrics that you guys might keep your eye on like the number of brand trademarks that are getting filed and is there a mismatch versus kind of the inventory that’s getting laid down via TTB? Any kind of secondary metrics that might help you guys navigate that growth going forward? Thanks.
Dave Colo: Yes, Vivien, I think some of the things that we look out for just in general is really the dynamics that are going on with our own customer base as well as the new customers that we are able to attract and we continue to see very strong demand both in new distillate and aged whiskey with existing customers as well as new customers continuing to be a great opportunity for us. And we also look at the growth by the craft brands, the national brands and the multinational brands as a proxy and we continue to see very good leading indicators there about strong demand signals.
Vivien Azer: Great. That’s super encouraging. And just one quick follow-up on that, from an aging perspective, are you seeing – just given the gross margin benefit that you guys get from aged whiskey? Are you seeing a desire or appetite for even longer aged products, some large peers are either reintroducing age statements or introducing age statements on certain products for the first time. So, it seems like that is a clear trend in American whiskey? Thank you.
Dave Colo: Yes, we would agree with that. I think there is a lot of demand for older aged whiskey. The reality of it is there is not a lot of it around, but that influences our put away or lay-down decisions on how much whiskey we laid down each year as we try to project out future demand by both mash bill and age requirements. But I think you are right, Vivien. I think there is a general tendency to try to age up the whiskey and the brands that are on the market.
Vivien Azer: That’s great. Thanks so much.
Dave Colo: Thank you.
Operator: The next question comes from Bill Chappell from Truist Securities. Please go ahead.
Bill Chappell: Thanks. Good morning.
Dave Colo: Good morning, Bill.
Brandon Gall: Hey, Bill.
Bill Chappell: Just want to follow-up on Vivien’s question. I mean the put away this quarter was bigger than we have seen in the past barring the kind of the merger. And typically, you don’t put away as much when grain prices are high. You take advantage of lower grain prices, natural gas prices. So it seems like there are lot of indicators to what you are seeing. So – was it just directly that the market is very tight and it’s going to be tight for quite some time on inventory? And so this is the time and we’ll probably see something similar in the next couple of quarters?
Dave Colo: Yes. No, Bill, we are definitely seeing strong demand for aged whiskey. And the way we have to run our operations, etcetera, we try to look out over the next 2 to 3 years to determine how much we need to lay it down in a particular year. And we try to do that as evenly as we can throughout the year and that’s tied also operationally. You can’t throttle back, put away one quarter and accelerate the next quarter, because typically you don’t have the distillation capacity for those type of high swings. So, we try to level it out the best we can throughout the year and quarter-to-quarter to lay down the whiskey we are anticipating we are going to need for future sales.
Bill Chappell: Okay. And then in terms of looking at the Luxco brands, they certainly are ending the year with strong momentum, especially the tequila and some of the bourbon brands or whiskey brands. How are you looking at that for 2022 in terms of just consumption? I mean, it’s very tough for us to understand how inflated or what the inflation was during the pandemic? Certainly, you had tougher comps or the industry had tougher comps in ‘21, but are you expecting the momentum to continue throughout the year or do you – how do you see it playing out just on the top line perspective?
Dave Colo: Yes. I think for our American whiskey and tequila brands in particular, we are coming into this year. We exited last year with good momentum. We see that momentum continuing as we enter 2022. And we think that we’re going to continue to see very strong consumer demand for our American whiskey brands as well as our tequila brands. And that’s where we’re spending the majority of our marketing dollars and we are doing that, because we think it’s a longer term sustainable business and something that’s got a pretty significant runway ahead of it.
Brandon Gall: And Bill, the only thing I’d add to that from a top line perspective is we are seeing a change in mix in our sales. So while we are picking up greater and greater volumes of the premium and ultra premium brands that we have, there may be some offset down in more on the standard in value levels to where it may not be as robust of a total top line growth in Branded Spirits, but the gross profit and margins should continue to expand and improve.
Bill Chappell: And is there any thought on culling some of those, what I think 110 brands to have a little greater focus or is it just allocation of marketing dollars?
Dave Colo: Yes. I mean, we constantly look at the portfolio and are there things that we should be optimizing, etcetera. But the approach we are taking now is really focusing on the brands that we think warrant the investments based on the consumer trends that we are seeing, but never say never, we are always opportunistic in our portfolio. So, something we continuously evaluate.
Bill Chappell: Got it. And then switching over to the White Goods, it’s a little bit harder for us to understand kind of what that will do between vodka and gin and industrial? But I am assuming with lower pricing and your decision to kind of walk away from some of that business that the industrial alcohol business sales, while it doesn’t really impact earnings will be down 20%, 30%. Is that a fair number? I was just trying to get kind of what a true growth looks like on your kind of your focus areas?
Brandon Gall: Yes, that’s a great question, Bill and thanks for asking it. So, what we are seeing and we talked about this a little bit is we are seeing a rise in commodity input prices, but due to the dynamic that’s out there, we are unable to raise price consistent with those increases. So, what – directionally speaking, what you are going to see this year is likely more flattish top line with increased costs is how that will play out and gross margins as a result will come in. We mentioned 700 basis points on the call just now. And just to give you a perspective, both Industrial Alcohol and White Goods combined for about $138 million in total sales in 2021.
Bill Chappell: Got it. Got it. And then last one for me, just – on the CapEx plans, I guess the one that’s the most – seems the most noteworthy is the warehouse capacity you are adding in Kentucky. I mean, I was under the impression that kind of $100 million – maybe $150 million you spent over the past 4, 5 years gave you enough in the backyard of Lawrenceburg to tie you over for a long period of time. So, is that more Luxco or is that more even the legacy core business, there is just that much demand you see over the next few years where you need that space?
Dave Colo: Yes. This – the new warehousing that we spoke to on the call here is related to our bulk spirits business. So, it is driven by again the increased demand that we are seeing, Bill, both for new distillate and aged whiskey. So, it’s – we took a couple of year hiatus on expanding warehousing. But as we have seen these pretty significant increases in the growth in our whiskey business is what’s driving the need for this additional expansion.
Brandon Gall: And just to add to that, Bill, the prior expansion was completed in the third quarter of 2020 and the total price tag on that was just under $50 million. So, today’s point, we are going to incrementally invest as needed, which is why the $12 million is as low as it is relative to the last expansion.
Bill Chappell: Got it. Thanks so much.
Dave Colo: Thanks, Bill.
Operator: The next question comes from Ben Klieve from Lake Street Capital. Please go ahead.
Ben Klieve: Alright. Thanks for taking my questions. First, I have a follow-up question to the previous caller regarding the comments on the White Good outlook. Brandon, I believe you said something to the effect that you expect the top line number for White Goods collectively to be relatively flat. But wondering if you can break down the beverage grade to the industrial contribution, that industrial contribution, do you think that’s going to be tailing off to the degree that it did last year or do you expect the industrial business to be to have kind of found the sweet spot here from a top line perspective?
Brandon Gall: Yes. Unfortunately, due to the dynamic we are seeing from both the moderating demand side and also the increased supply side, we are seeing the combined impact affecting both Industrial and White Goods pricing this year. So, it’s not one or the other. We are seeing them move directionally in the same direction back to historical averages in terms of gross margin.
Ben Klieve: Okay. Fair enough. Thank you. Then couple of other questions. One – couple on the ingredients side, the facility expansion for the ProTerra line, from a functionality perspective, is this going to be something that allows you to produce the entirety of that product line in-house or is that going to be specifically for wheat? And then how nimble will that facility be for potentially integrating other crops down the road into that product line?
Dave Colo: Yes, Ben. The intent is to be able to produce wheat-based texturized proteins as well as pea-based or other forms of plant-based proteins. So, it’s going to have quite a bit of flexibility and allow us good innovation opportunities across multiple plant-based proteins.
Ben Klieve: Got it. Got it. Okay. Thank you. And then actually, just one other one for me on the kind of both the Branded Spirit and Distillery segments, with the tariff lifting here early this year amid challenging time to say the least for international transportation, I am wondering how you kind of see the export business during the year? Do you think these variables are going to kind of offset each other or do you think the effect of one will be more pronounced than the other?
Dave Colo: Yes. I think the tariffs being removed on part of that business, I think will definitely help over time. So, I think the demand will trump the logistical issues in the long run, Ben. But short-term, there is definitely still congestion in the port, there is container availability issues all the things that you see and read about. But I think overall in the long run the demand for American whiskey internationally we view as still a high growth opportunity for us.
Ben Klieve: Okay. Very good. I appreciate you taking the questions. I will get back in queue.
Dave Colo: Alright. Thanks, Ben.
Operator: Our next question comes from Mitch Pinheiro from Sturdivant. Please go ahead.
Mitch Pinheiro: Yes, hey, good morning. So, how much of your brown goods demand is sort of contracted where you have visibility versus just getting purchase orders weekly. How much visibility do you have there?
Dave Colo: Yes, Mitch. The – we have talked about this in the past and on aged brown whiskey sales, historically, it’s been very difficult to contract that business and it’s been predominantly spot business. In new distillate, we have much more success there on contracting the sales in that particular business. What’s happening here in the last year as these high demand dynamics have been playing out and whiskey availability has gotten more scarce, it’s allowed us to have more meaningful conversations with our customers on trying to contract aged whiskey and further discussions about contracting a more significant book of our new distillate volumes. So I’d say the – I am not going to disclose specific percentages on how much is contracted, but I can tell you that directionally, we are in a better position today and going forward on having the ability to contract aged whiskey as well as trying to increase the percent of our new distillate that’s under contract.
Mitch Pinheiro: And how about – I mean, one of the things obviously with coming out of the pandemic or through the pandemic is the out of stocks in a lot of really good American whiskeys. You go into the stores and it’s – I am shocked at the lack of availability. And so there is a tendency obviously to – if you see something available, you are going to buy a couple of bottles of whatever you see and just going into the household inventory. And is there anyway, have you ever – have you seen, talked to customers about whether – how much household inventories have increased versus true consumption of the whiskey?
Dave Colo: Yes, pantry loading is a tough thing to understand, Mitch, because it’s very obviously difficult to get that type of information. But what I can tell you is the out of stocks on some of these high demand bourbons, whiskey products etcetera is real. And it’s – I think it’s a reflection of the tight supply of aged whiskey that’s available whether it’s our customers or whether it’s some of the multinationals that are in the business or nationals, etcetera, I think it’s a pretty broad-based issue. And how that impacts us is it definitely influences how much whiskey we lay down to age out for future sales. But yes, I just think it’s a reflection of the very strong demand that we’re seeing in the American whiskey category.
Mitch Pinheiro: Well, okay. And then on the Ingredient Solutions business, the gross margin was down this quarter year-over-year? And what drove that – and is that – what should we be thinking? What kind of – what’s the margin profile of that business in 2022 relative to last year?
Brandon Gall: Yes. Thanks for that question. The sales growth in Q4 was, again, very robust, north of 15% again, driven by the strong demand for our specialty wheat proteins and starches. We did see a reduction in the quarter, in our Ingredient Solutions segment in gross margins related to planned maintenance and repairs that are not expected to recur in future periods. So with that dynamic in Q4 and then we also had a disruption in Q1, those two quarters together did bring down the full year margin profile for Ingredient Solutions. However, our view is that Q2 and Q3 of this year, which is mid to upper 20% gross margins is more in line with the long-run capability of this segment.
Mitch Pinheiro: Okay. And then as you take some of that production in-house and from the third party, I realize you have patents and IP around this, but what happens to your third-party partners capacity? Is that – does that pose any sort of competitive risk?
Dave Colo: Yes. The part of the issue there is our third-party suppliers actually have constrained capacity. So it’s one of the factors that’s leading us to build our own facility. So I don’t think it’s going to be a situation, Mitch, where as we bring capacity in-house that there is going to be excess capacity on their market. But also we continue to envision the need to continue to utilize our third-party co-manufacturers because we think that we can grow this business over time beyond even the expansion that we announced to bring this capacity in-house.
Mitch Pinheiro: Okay. And then just one final question is, when I look at your EBITDA margin guidance, sort of the range, roughly 21% to 23%. Is that – is the mix – the low end, high end is the – are the factors between that, the – basically your product mix, is that what drives the range?
Brandon Gall: Yes, that’s exactly right. And really, we spent a little bit of time already talking about the dynamic in Industrial Alcohol and White Goods, and what that decline is going to do year-over-year. And so we wanted to be sure to not only call that out as we have the last four or five quarters. But also, I’ll give you an approximate 700 basis point decline. So you can kind of see that interplay from a product mix standpoint and what’s driving not only the EBITDA margins, but also the gross profit margins of our business.
Mitch Pinheiro: Okay. Alright, well, thank you for the questions.
Dave Colo: Thanks, Mitch.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dave Colo for any closing remarks.
Dave Colo: Thank you for your interest in our company and for joining us today for our fourth quarter and full year call. We look forward to talking with you again after the first quarter.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.